Operator: Welcome to American Homes 4 Rent 2014 First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the Company's presentation, there will be an opportunity to ask questions. (Operator Instructions) As a reminder this conference is being recorded. I would now like to turn the call over to Stephanie Heim, Counsel for American Homes 4 Rent. Thank you Ms. Heim you may begin.
Stephanie Heim: Good morning and thank you for joining us for our first quarter earnings conference call. I'm here today with Dave Singelyn, Chief Executive Officer and Jack Corrigan, Chief Operating Officer of American Homes 4 Rent. At the outset, I need to advise you that this call may include forward-looking statements. All statements other than statements of historical fact included in this conference call are forward-looking statements that are subject to a number of risks and uncertainties that could cause actual results to differ materially from those projected in these statements. These risks and other factors that could adversely affect our business and future results are described in our press releases and in our filings with the SEC. All forward-looking statements speak only as of today May 6, 2014. We assume no obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. A reconciliation to GAAP of the non-GAAP financial measures we are providing on this call is included in our earnings press release. You can find our press release, SEC reports and the audio webcast replay of this conference call on our Web site at www.americanhomes4rent.com. With that, I'll turn the call over to David Singelyn.
David Singelyn: Thank you, Stephanie, and welcome to our first quarter 2014 earnings call. Before we discuss our first quarter operations and financial results, I would like to introduce Diana Laing. Diana is present with us today and has accepted the position of Chief Financial Officer of American Homes 4 Rent, beginning on May 19. I am pleased to have Diana join our team as she brings years of senior executive finance experience with a strong track record of success and deep capital market experience in the real estate field. For those of you who are not familiar with Diana, she previously served as Chief Financial Officer of Thomas Properties Group, a publicly-traded real estate operating company engaged in the development, redevelopment and operations of Class A office properties until it merged with Parkway Properties last December. Before that, she held a number of senior executive finance positions in the real estate industry, including as CFO of Arden Realty. She is also a member of the Board of Directors of Macerich Company, a real estate investment trust that owns and operates regional malls, where she is Chair of the Audit Committee and a Member of the Compensation Committee. With respect to today’s earnings call I will review our first quarter accomplishments. I will then turn the call over to Jack Corrigan to discuss current operating environment and our progress with regard to operations and external acquisitions. Finally I will review operating and financial results for the first quarter of 2014 and update you on our balance sheet and liquidity. Since our Company is still new to many of you I would like to begin with a short review of who we are and what we do. We seek to build the premier Company focused on single-family rentals by executing a focused strategy including three main objectives. First, to develop a national operating platform that provides significant scale and advantages in renovating and operating cost efficiencies, standardization of best practices as well as brand awareness. With a professional operating platform we are able to bring structure and consistent performance to an industry historically dominated by small mom and pop landlords. We build such a structure highlighted by the completion of the internalization of our property management platform. Today all homes owned by AMH are managed and leased by AMH personnel. Second, we seek to acquire high quality homes in a select number of markets with strong local economies and demographics, attractive submarkets and of significant size to allow us to build a larger platform to capture operating efficiencies and brand awareness. We have concentrated our acquisitions in newer built homes within middle to upper middle class neighborhoods. Today, we have now surpassed 26,000 owned homes. Our largest concentrations are in Texas, the Southeast, and various Midwest markets. We purchased our properties at prices below replacement cost and continue to see a steady flow of opportunities in our target markets. Third, we look to enhance our returns with a reasonable level of leverage. Maintaining a strong balance sheet with significant capacity and flexibility to finance our growth and investment strategies will allow us to be nimble as opportunities arise. I will provide an update on our securitization transaction later on. Moving onto our accomplishments for the first quarter, I’m extremely pleased with our performance this quarter and let me provide you some highlights. As of March 31, we own more than 25,500 properties. During the quarter we acquired more than 2,200 properties. During April our acquisitions brought our inventory of homes to more than 26,000 homes. As of March 31, we had 20,666 leased properties. This is an increase of 3,338 properties from the 17,328 properties leased at December 31. As of April 30, we had more than 21,900 leased properties. As a result our portfolio occupancy percentage increased from 75% at December 31st to 81% at March 31st, and was 84% or over 84% at the end of April. Our occupancy rate of rent ready 90 day plus homes was 95.1% in the first quarter. That is a 60 basis point improvement from the fourth quarter of 2013. After a slow start in the quarter reflecting typical seasonal weaknesses in rental demand we saw a pickup in the early spring months. Our tenant renewal rate was approximately 72% for the first quarter. And as we have said before we are still just beginning to experience renewals of the homes we have renovated, leased and managed and we expect the renewal rate maybe volatile until we reach a larger pool of leased renewals on a regular basis. Overall we reported revenue of $77.3 million in the first quarter. That’s up 19.1% from the $64.9 million recorded in the fourth quarter. After our operating expenses our net operating income from leased properties was $47.7 million, a 19.4% increase from the fourth quarter of 2013 again demonstrating strong trajectory. These factors resulted in $0.12 in core funds from operations per FFO share, and I will provide more details on core FFO later during this call. But at this time I would like to turn the call over to Jack Corrigan, our Chief Operating Officer to provide more detail on our acquisition and operating activities for the first quarter.
Jack Corrigan: Thanks Dave, I will give a little color on acquisitions, then renovations and finally on property operations for the first quarter as well as an update on our April 2014 activity. For the first quarter of 2014, we acquired a total of 2,237 homes including 1,056 at trustee auctions or about 47% of our acquisitions. The average net economic yield are estimated to be approximately 6.5% on a pro forma basis. We anticipate approximately 2,000 acquired homes in the second quarter. We continue to execute our renovation program. We renovated approximately 2,600 homes in the first quarter excluding turns and we expect to renovate about the same number in the second quarter of 2014. Our internalized property management platform continues to pay dividends while improving its efficiency each quarter. Our centralized leasing and service centre as well as tenant underwriting and collections provides real-time information to allow us to actively manage our business. One of those benefits is our ability to lease our properties. In the first quarter, despite some challenges as a result of extreme cold weather we saw a pickup of leasing activity throughout the quarter going progressively from 1,000 new leases in December to almost 1,700 in March. For the quarter we leased a total of approximately 6,000 homes including first time second-generation and renewal leases. Excluding renewals we leased approximately 4,300 homes, up from approximately 3,500 in the fourth quarter. April leasing was strong with a total of approximately 2,900 homes leased and excluding renewals over 1,600 homes leased. We continue to lease up our portfolio going from 31% to 81% over the past 12 months and up to 84.5% as of April 30, 2014. For homes that have been rent-ready for 90 days or more, we were approximately 95% leased at March 31st and April 30th. This compares to 94.5% at December 31st. We continue to see strong tenant retention of 70% to 75% with rental rate increases in the 2% to 3% range on renewals and 3% to 5% range on rereleasing. We are beginning in mid-February. We began a program to analyze the effects of more aggressively pushing rates. One item of note during the quarter that resulted in increased expenses particularly on unreleased homes was the extreme cold weather in the Midwest and Southeastern markets. We had three different storms resulting in damage to 479 of our homes. The bulk of this damage was covered by insurance subject to $125,000 deductible for each event. This deductible multiplied by three for the three storms resulted in an expense of 375,000. We had additional expenses as the storms required us to drive all of our vacant homes on a more frequent basis as well as snow removal cost and additional utility cost to heat the homes for showing. With that, I would like to turn it back over to Dave.
Dave Singelyn: Thank you, Jack. I will now review the first quarter financial results which were detailed in yesterday’s press release. To better present our operating performance without the effect of certain items that by their nature are comparable from period-to-period. We have defined a new measurement that we call core funds from operations. We defined core funds from operations as funds from operations as defined by NAREIT adjusted for acquisition fees and cost related to properties acquired within placed leases. And for recurring non-cash items of equity-based compensation and re-measurement items related to the Series E partnership units and the derivatives component of preferred securities. For the first quarter, our core FFO was $28.1 million or $0.12 per FFO share. This compares to $25.6 million, or $0.11 per FFO share, for the quarter ended December 31st. With respect to property operations, net operating income from our leased properties was $47.7 million, an increase of 19.4% from the $40 million reported in the fourth quarter. Revenues were $77.3 million for the first quarter also an increase of 19% over amounts reported in the fourth quarter. Expenses related to properties that rent-ready and have not been leased for the first time are reflected in the Company’s property operating expenses. These expenses are included in the line shown as vacant properties and other operating expenses. As we have previously indicated on average, it takes the Company about 30 days to lease a property once it is rent-ready. As mentioned last quarter, we completed our property management internalization and the trailing cost related to the internalization process as well as cost related to cold weather that Jack discussed are included in the line vacant properties and other cost. For the first quarter vacant properties and other cost was $9 million. On a per property basis cost related to vacant properties increased from the prior quarter resulting from the unusual cold weather in many parts of the country. As Jack mentioned, we had increased cost for utilities to keep the houses warm for showings and to assist in the prevention of cold weather freeze issues. In addition, we increased the frequency of visits by our field inspectors to ensure no cold weather freeze issues occurred. In addition, the 375,000 insurance deductable Jack referred to with respect to cold weather freeze issues is also included in the $9 million of vacant property and other cost. For the first quarter, our general and administrative expenses were $5.1 million. This compares to $3.7 million of expenses reported in the fourth quarter of 2013. This expense was driven by a couple of items namely for additional professional fees related to 2013 audit and tax work and required testing under Sarbanes-Oxley legislation. And for additional state taxes related to operations in a couple of states that do not recognize REITs as full pass-through entities. We expect our base level of G&A will increase $400,000 to $500,000 on a quarterly basis over the $3.7 million reported in the fourth quarter to reflect these additional expenses on an ongoing basis. We still believe that our G&A will be within a range of 30 to 40 basis points on assets. As some of you may recall, we have a number of items in our financial statements that require non-cash mark-to-market adjustments. The Series E operating partnership units are treated as a liability for accounting purposes and are re-measured each quarter which resulted in a non-cash expense of $2.8 million for the quarter. As previously mentioned, we have added this amount back to our computation of core FFO. Our participating preferred stock also requires a non-cash mark-to-market re-measurement of the derivative component of the preferred securities. This re-measurement resulted in a non-cash expense of $457,000 in the quarter and was also added back into our computation of core FFO. For more information on our first quarter operations, our operating trends and the details of funds from operations and our computation of net operating income, we posted last night a supplemental information package on our Web site under the For Investors tab. The package was also filed with the SEC in a Form 8-K filing. As of March 31, we had $671 million outstanding on our credit facility leaving available capacity of $129 million. Our line bears interest at LIBOR plus 2.75%. In addition, we had in excess of $45 million of working capital available on the balance sheet. With respect to capital transactions last week we closed on $190 million of gross proceeds from the offering of our Series C Participating Preferred shares. After this offering we have an excess of $200 million of available capital. Earlier today we issued a press release indicating that a subsidiary of the Company plans to launch a securitization transaction this week. The transaction is intended to reduce the Company’s cost of capital over the long-term. The transaction will not be registered under the Securities Act of 1933 but will be sold as a private placement subject to rule 144A. As such it is not appropriate for me or the Company to be providing any additional details at this time. As soon as it is appropriate to provide details publicly, we will do so through a press release. In closing we are excited about the opportunities we have at American Homes 4 Rent. We own a large and growing platform of high quality homes in select growing markets and through our select financing are laying the groundwork to continue to grow and scale this tremendous business. We have begun to see and experience the benefits of our fully internalized platform and look forward to continue to enhance these efficiencies as we continue to grow in 2014 and beyond. And with that, we will now open the call to your questions, operator?
Question:
and:
Operator: Thank you. Ladies and gentlemen, we’ll now be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Jana Galan with Bank of America. Please proceed with your question.
Jana Galan : Thank you. Good morning. Given the change at the CFO level, can you comment on target leverage levels and net debt-to-EBITDA ratios and any preference for preferred versus debt?
 Bank of America Merrill Lynch: Thank you. Good morning. Given the change at the CFO level, can you comment on target leverage levels and net debt-to-EBITDA ratios and any preference for preferred versus debt?
Jack Corrigan: Yes, so the change of the CFO Diana will be starting in her official capacity in about a week and a half for two weeks. And at this time we have no change to the guidance of our leverage we had indicated historically that we’re looking at 30% to 35% leverage at that time we will take a evaluate -- we will evaluate where we are and determine whether we want to increase it or stay firm. With respect to preferred capital and debt capital, we see both as attractive sources of capital to-date we’ve relied on the preferred capital as has been readily available and we are pleased that our securitization transaction has progressed to where it we made our announcement this morning that we’re launching.
Jana Galan : Thank you. And Jack you mentioned the program started in mid-February to be more aggressive on rate. Can you comment on just initial findings and how is that working out, are you sending out renewal notices that 4% or 5% increases?
 Bank of America Merrill Lynch: Thank you. And Jack you mentioned the program started in mid-February to be more aggressive on rate. Can you comment on just initial findings and how is that working out, are you sending out renewal notices that 4% or 5% increases?
Jack Corrigan: No, what we did I think it was February 10th, we were reluctant to push rates in the slow leasing period of the holidays up through probably January and then we developed a program where we would test our increases in rates strictly on releasing, so not on renewals but on new leases of previously leased properties in our stronger markets we started bumping the rents 4% to 5%. We have seen relatively little resistance to those rate increases. We’ve maintained on renewals a rate of about 2% to 3%. And we’re going to kind of do this in a measured way. So, we have now because of the lack of resistance we’ve now expanded that to more markets and have seen similar finding. So I would expect us to kind of push this out except into markets where we know are very competitive the Phoenix and Tampa markets are two of those.
Jana Galan : Thank you. And can you just comment on how bad debt expense has been trending?
 Bank of America Merrill Lynch: Thank you. And can you just comment on how bad debt expense has been trending?
Jack Corrigan: Bad debt expense has been trending down. In the first quarter we still saw some bleed of what happens when we internalize from the third-party manager is we get a lot of games played with us where the tenant said they sent it into a third-party manager especially the tenants that aren’t that good. And so it takes us a while to figure out when to evict because we don’t want to evict somebody who is actually paying. And we finished our internalization December 31st we saw some bleed through into the first quarter I would expect to continue to see that trend down to the approximately 1% range.
Jana Galan : Thank you.
 Bank of America Merrill Lynch: Thank you.
Operator: Thank you. Our next question comes from the line of Jade Rahmani with KWB. Please proceed with your question.
Jade Rahmani : Hi. Thanks for taking the question. Firstly I wanted to see if you’ve heard or seen anything about insurance or insurance firms developing any blanket home warranty insurance policy programs geared toward the single-family rental sector with the goal of providing some certainty around long-term CapEx?
 Keefe, Bruyette & Woods: Hi. Thanks for taking the question. Firstly I wanted to see if you’ve heard or seen anything about insurance or insurance firms developing any blanket home warranty insurance policy programs geared toward the single-family rental sector with the goal of providing some certainty around long-term CapEx?
Jack Corrigan: We haven’t, but our general the theory on insurance is that there is a profit level in there that we’d prefer to keep ourselves and it’s probably not something -- it’s probably more for the 100 to 200 operator than for the 26,000 home operators.
Jade Rahmani : Okay, I appreciate the comment. And just with respect to the issue of long-term CapEx, can you talk about what guidance you’re thinking and kind of what kind of analytical process you have gone through with respect to modeling long-term CapEx?
 Keefe, Bruyette & Woods: Okay, I appreciate the comment. And just with respect to the issue of long-term CapEx, can you talk about what guidance you’re thinking and kind of what kind of analytical process you have gone through with respect to modeling long-term CapEx?
David Singelyn: Yes so at this point our guidance is in the about $400 per property range. Again, like many of the attributes in this Company, or a few of the attributes in this Company, we don’t have enough history to validate that number or provide you any validation of that number. To-date we are experiencing less than a amount that we’re projecting, but again the homes are recently remodeled homes and we have had very-very little turn.
Jack Corrigan: Yes I think what Dave meant to say was $400 per property per year -- per year plus we have an additional reserve $0.25 a foot per turn.
Jade Rahmani : Per turn, okay. And just regarding the incremental buying opportunity, are you starting to see more portfolios that you view as attractive and can you also comment on the NPL side with respect to your joint-venture?
 Keefe, Bruyette & Woods: Per turn, okay. And just regarding the incremental buying opportunity, are you starting to see more portfolios that you view as attractive and can you also comment on the NPL side with respect to your joint-venture?
David Singelyn: Yes. We are seeing attractive portfolios on a stuff that we’d want to own basis we haven’t seen anything yet on a price that we’d want to pay basis. So we haven’t closed, but there is a number of opportunities that we have evaluated and continue to evaluate. As far as the NPL, non-performing loan program, we have accelerated the program through the second quarter. We kind of figured -- we are kind of walking on wobbly legs in the first quarter and I think we are pretty strongly walking now, and be running by the end of the year. So we think that that’s tremendous opportunity there and we’re starting to really take advantage of it.
Jade Rahmani : Great, thanks very much.
 Keefe, Bruyette & Woods: Great, thanks very much.
Operator: Thank you. Our next question comes from the line of Steve Stelmach with FBR. Please proceed with your question.
Steve Stelmach : Jack, you gave some color on the expenses and sort of, I guess one-time weather-related issues, with the deductible on the insurance that 375, was that the largest sort of extraordinary expense on the project level this quarter? Or, I know you mentioned some other things like snow removal and adding more personnel to sort of go out there and visit the properties. But is the 375 the biggest sort of number that you can sort of calculate that impact to the quarter?
 FBR Capital Markets: Jack, you gave some color on the expenses and sort of, I guess one-time weather-related issues, with the deductible on the insurance that 375, was that the largest sort of extraordinary expense on the project level this quarter? Or, I know you mentioned some other things like snow removal and adding more personnel to sort of go out there and visit the properties. But is the 375 the biggest sort of number that you can sort of calculate that impact to the quarter?
Jack Corrigan: It’s the biggest single number, it’s really a little more difficult to quantify than you would think as we -- it’s not like office buildings where you have a separate snow removal company come in, your landscapers are doing your snow removal and it just shows up in your landscaping bill. So my best estimate would be the total is somewhere in 1 million to 1.5 million range. But that could be low and that could be a little high.
David Singelyn: I mean, in addition to snow removal, which is a significant number our utilities are on a per house basis are significantly higher on the vacant homes in the first quarter than they were in the fourth quarter.
Jack Corrigan: On the very positive side our rent-ready homes that have dropped dramatically from the start of the first quarter, I think we’re at about 3,300 and somewhere in the 1,500 to 1,600 range by the end of the quarter, and so I think the vacant house expenses is going to be significantly lower going forward.
Steve Stelmach : Yes and that kind of leads to my next question. I mean if you look at the vacant home expense relative to sort of the occupied home expense, vacant obviously is higher. And then if you think about getting those vacant homes up to sort of what’s average occupancy for your portfolio, that 95% or so, how should we think about incremental margins on those vacant properties being occupied? It seems to be relatively large. I mean you are already assuming expenses, if not a little bit higher expense than is typical without any associated revenue. I mean how should I think about that?
 FBR Capital Markets: Yes and that kind of leads to my next question. I mean if you look at the vacant home expense relative to sort of the occupied home expense, vacant obviously is higher. And then if you think about getting those vacant homes up to sort of what’s average occupancy for your portfolio, that 95% or so, how should we think about incremental margins on those vacant properties being occupied? It seems to be relatively large. I mean you are already assuming expenses, if not a little bit higher expense than is typical without any associated revenue. I mean how should I think about that?
Jack Corrigan: I think that I mean the margins should expand. The expenses of a vacant home are substantially higher than the expenses of a leased home. We have the ongoing landscaping expenses. We have to drive-by every two weeks instead of every six months. There is utilities that are normally paid by the tenant there is just a number of expenses that are higher as a result of a vacant home and so getting rid of those expenses should dramatically increase our -- well I don’t know about dramatically increase in the margins but should increase our margins.
David Singelyn: Yes I mean Steve, the homes that are vacant at the beginning of the first quarter the end of the first quarter as well as today are in the same market as our leased properties are and I would expect that those homes when they become leased will have the same margins as what you’re seeing in our leased portfolio today.
Jack Corrigan: And one thing to just to be clear on is that our un-leased home expenses does not include homes that are un-leased that had been leased for at least onetime those go into leased homes. So the just recurring vacancy or frictional vacancy factor is included in the margins.
David Singelyn: In another words the homes in turn are in leased -- the cost of those homes is in the leased homes expense category.
Steve Stelmach : Understood. That’s helpful. And then just lastly. Just on the renewal rate still very-very strong but a little bit deep sequentially, is there any seasonality in that number at all?
 FBR Capital Markets: Understood. That’s helpful. And then just lastly. Just on the renewal rate still very-very strong but a little bit deep sequentially, is there any seasonality in that number at all?
Jack Corrigan: In which?
Steve Stelmach : I’m sorry. The renewal -- the quarterly renewal rate of 71.8% versus I guess 73% last quarter.
 FBR Capital Markets: I’m sorry. The renewal -- the quarterly renewal rate of 71.8% versus I guess 73% last quarter.
Jack Corrigan: I don’t think it’s significant enough. I think what one of the things that happens I think January and June are probably two of the biggest percentage move out months that you’ll see because they’re transition months for families. They want to get through the holidays and then June they want to get through the school year and then make a decision, so I would expect that that probably played into more than any weakness in renewals.
Steve Stelmach : Yes I mean it’s still a very-very good number strategically relative to multifamily I just wondered if there is anything sort of seasonal in there. Thanks guys, I appreciate it.
 FBR Capital Markets: Yes I mean it’s still a very-very good number strategically relative to multifamily I just wondered if there is anything sort of seasonal in there. Thanks guys, I appreciate it.
Jack Corrigan: Thanks Steve.
Operator: Thank you. Our next question comes from the line of Tony Paolone with JPMorgan. Please proceed with your question.
Tony Paolone : Thanks. Good morning. Can you give us a property management expense amount that was in the first quarter by any chance?
 JPMorgan: Thanks. Good morning. Can you give us a property management expense amount that was in the first quarter by any chance?
David Singelyn: You know what I do not have it at my fingertips the supplemental package that was distributed or posted online can be derived from there. We have the cost percentages in there.
Tony Paolone : Alright, I may have missed it. I’ll take a look at that again. Jack on the yields the 6.5% you sited, can you maybe just walk us through again like how you calculate that? Like does that include vacancy and bad debt or what’s in the number?
 JPMorgan: Alright, I may have missed it. I’ll take a look at that again. Jack on the yields the 6.5% you sited, can you maybe just walk us through again like how you calculate that? Like does that include vacancy and bad debt or what’s in the number?
Jack Corrigan: Yes in the number is pro forma rent and then a vacancy factor of one month for every two years which would also include your bad debt portion and then all expenses including CapEx reserve and term reserve for the property for the first year and there is no projection of rental rate increases or anything of that nature.
Tony Paolone : Okay and the CapEx there for the first year is that that $400 or is that a lesser number because it’s a first year?
 JPMorgan: Okay and the CapEx there for the first year is that that $400 or is that a lesser number because it’s a first year?
Jack Corrigan: Its $400 plus we reserved $0.25 per foot for returns and then we also -- I mean that’s our base analysis and we additionally if the property adds a pool we will add approximately 100 bucks a month for maintaining the pool.
Tony Paolone : Okay, got you. And then I know you talked about some of the revenue experience thus far, can you give us a little color on some of the OpEx like property taxes maybe some of the folks that have been with you for a year or so now? Rent just a variety of items like that and what that year-over-year growth is maybe looking like?
 JPMorgan: Okay, got you. And then I know you talked about some of the revenue experience thus far, can you give us a little color on some of the OpEx like property taxes maybe some of the folks that have been with you for a year or so now? Rent just a variety of items like that and what that year-over-year growth is maybe looking like?
Jack Corrigan: Right now we haven’t seen a lot of growth and we’re still experiencing efficiencies and comparing to what was operated by third-party managers. Property taxes are seen basically flat, homeowners association basically flat, and insurance has gone down slightly. So I would say overall our expenses are trending down but not by much.
Tony Paolone : Okay and then last question I think it was a couple of quarters ago you talked about looking more closely your properties where rents were 1000 bucks or less to see just how much you make on that, any conclusions or color you could add to that?
 JPMorgan: Okay and then last question I think it was a couple of quarters ago you talked about looking more closely your properties where rents were 1000 bucks or less to see just how much you make on that, any conclusions or color you could add to that?
Jack Corrigan: I don’t think we could add any at this point. It’s going to take a little bit before we can evaluate those tenants on a -- I think we need to look at it with longer term basis.
Tony Paolone : Okay, thank you.
 JPMorgan: Okay, thank you.
Operator: Thank you. Our next question comes from the line of Andrew Rosivach with Goldman Sachs. Please proceed with your question.
Andrew Rosivach : Hi. Good morning guys. I just wanted to ask a little bit on your portfolio mix if I got the math right it looked like you were continuing to buy quite a bit in some of your largest markets like Dallas and Indianapolis. Do you have any sense of kind of where you think the long term portfolio mix might be versus where it is today and if maybe you’re concentrating on a smaller group of markets than you thought you were going to do?
 Goldman Sachs: Hi. Good morning guys. I just wanted to ask a little bit on your portfolio mix if I got the math right it looked like you were continuing to buy quite a bit in some of your largest markets like Dallas and Indianapolis. Do you have any sense of kind of where you think the long term portfolio mix might be versus where it is today and if maybe you’re concentrating on a smaller group of markets than you thought you were going to do?
Jack Corrigan: I would say that we’re concentrating on a smaller group of markets than we originally did most of the West Coast the yields have dropped and due to our limitations on capital we’ve selected the markets that we think we can do the best in so we’ve to the exclusion of some markets that we think we can do okay and but not as well. So, I would say that North Carolina, Atlanta, the markets in the Midwest and Texas are and Florida are still very strong markets for us and we’re buying but we haven’t excluded buying in the other markets but maybe any sustained growth in some of the West Coast markets may have to be through bulk acquisitions.
Andrew Rosivach : And I’m just curious you have sold in the past and I am wondering if some of these markets the 4,200 units that are in the all other or I guess we all know this but it was cool when you put in that sheet on HPA you got Phoenix 17% 2013, Vegas 25% 2013. Are there any markets that might be worth harvesting and putting into a different part of the country?
 Goldman Sachs: And I’m just curious you have sold in the past and I am wondering if some of these markets the 4,200 units that are in the all other or I guess we all know this but it was cool when you put in that sheet on HPA you got Phoenix 17% 2013, Vegas 25% 2013. Are there any markets that might be worth harvesting and putting into a different part of the country?
Jack Corrigan: Well, we still think that those markets are trading at below replacement cost so any gains have definitely not been maximized and the demand for the rentals has been tremendous. So, I think that we’re happy with holding on to what we did and we’re probably we sold 200 and some homes in southern California last year about this time and I mean hindsight is 2020 but I think we’d rather have those and have sold to.
Andrew Rosivach : Yes, that’s a good point. Alright, thanks a lot guys.
 Goldman Sachs: Yes, that’s a good point. Alright, thanks a lot guys.
Jack Corrigan: Thanks, Andrew.
Operator: Thank you. Our next question comes from the line of Jack Micenko with SIG. Please proceed with your question.
Ming Zhao : Hi. This is actually Ming Zhao for Jack. How are you guys doing today?
 SIG: Hi. This is actually Ming Zhao for Jack. How are you guys doing today?
Jack Corrigan: Doing well.
Ming Zhao : One of my first question is in terms of the overall industry sector how do you think M&A is going to play out over the next year and a follow-up to that is do you think you guys are going to be a consolidator?
 SIG: One of my first question is in terms of the overall industry sector how do you think M&A is going to play out over the next year and a follow-up to that is do you think you guys are going to be a consolidator?
David Singelyn: As Jack indicated earlier we are seeing a lot more discussions occurring in this space right now. There is a lot of small operators that are initiating discussions with parties like us. We will be one of the players in the consolidation of this sector. Jack also mentioned as what we are seeing today is a lot of discussions but still a little bit of a gap between expectations on price between buyers and sellers. But I would expect that to narrow as the year goes on and for there to be some consolidation over the next nine to 12 months. And yes we will be evaluating and pursuing opportunities as they arise during the year.
Ming Zhao : Got you, great thank you. And my second question is on your NPLs could you give us how many loans you guys made and or indeed this quarter I know you guys had 25 I think by the end of fourth quarter?
 SIG: Got you, great thank you. And my second question is on your NPLs could you give us how many loans you guys made and or indeed this quarter I know you guys had 25 I think by the end of fourth quarter?
Jack Corrigan: Well, 25 was the total of both I will remind you of how we’re structured we have Fund I which is designed for the loans to be converted ultimately to rentals and then we have Fund II which is primarily invested and we have small interest but it’s primarily invested by a joint venture partner which is for resolution of the loans and disposal ultimate disposal of the property. So I think the 25 was the total of the two we had 10 in the conversion to rental pool and I think 15 in the other. I would expect that to grow substantially the joint venture for the rapid resolution, the capital -- significant amount of capital has been raised for that and that’s accelerating and now that we have seen some of the benefits on the rental portfolio we’re convinced we know enough about it to push forward pretty strongly.
Ming Zhao : Got you guys, thanks very much.
 SIG: Got you guys, thanks very much.
Operator: Thank you. Our next question comes from the line of Robert Quigley. Please proceed with your question.
Unidentified Analyst: Thank guys. Jack, just a question on acquisitions how do you think the mix will trend going forward more towards auctions or brokerage sales and then maybe a just comment on the competition you’re seeing at the auctions?
Jack Corrigan: Yes, we’re seeing less competition at most of the auctions. Actually I would say virtually all of the auctions we’re seeing less competition. One of the things that we are seeing and it maybe from guys like us on the NPL side is full credit bids for properties going to auction. And basically that means that they’re bidding the total amount of the loan plus accrued interest plus late fees et cetera and generally is well an access of the value of the property, so those full credit bids are by the actual owner of the loan who may have paid far less and what they’re bidding for the loan. So we’re seeing that it’s limiting our ability our opportunity somewhat. We’re still buying in the 300 to 450 homes a month at auction and I don’t expect to continue indefinitely, but I don’t expect that to drop off the map either.
Unidentified Analyst: Great thanks.
Operator: Thank you. (Operator Instructions) And our final question is a follow-up from Steve Stelmach with FBR. Please proceed with your question.
Steve Stelmach : Real quick on the previous question I asked about the home price appreciation and sort of mentioned I think referring to page 12 of your supplement, just to clarify, the FHA indexes comprise about the distressed and non-distressed sales data where as your portfolio the vast majority is you acquired via distressed acquisition, so is it fair to say that home price appreciation on page 12 understood what would be embedded in your own portfolio?
 FBR Capital Markets: Real quick on the previous question I asked about the home price appreciation and sort of mentioned I think referring to page 12 of your supplement, just to clarify, the FHA indexes comprise about the distressed and non-distressed sales data where as your portfolio the vast majority is you acquired via distressed acquisition, so is it fair to say that home price appreciation on page 12 understood what would be embedded in your own portfolio?
Jack Corrigan: I would say that’s fair to say.
David Singelyn: I would too. Does not reflect the under market aspect of our acquisitions program.
Steve Stelmach : Right, so we would caution again using that 11% as defect the way back into an NAV that would severely understate what you NAV would look like.
 FBR Capital Markets: Right, so we would caution again using that 11% as defect the way back into an NAV that would severely understate what you NAV would look like.
David Singelyn: I agree with that. Operator?
Operator: And that’s all the questions we have at this time. I’d like to turn the floor back to management for closing comments.
Dave Singelyn: This is Dave. Thank you again for joining us today. We look forward to speaking with you next quarter on our quarterly earnings calls. Have a good day. Bye-bye.
Operator: This concludes today’s conference call. You may now disconnect your lines at this time. Thank you for your participation.